Operator: Ladies and gentlemen, thank you for standing by. My name is Krista, and I will be your conference operator today. At this time, I would like to welcome you to the Brightstar Lottery Third Quarter 2025 Earnings Conference Call. [Operator Instructions] I would now like to turn the conference over to James Hurley, Vice President of Investor Relations. James, you may begin.
James Hurley: Thank you, and thank you all for joining us on Brightstar Lottery's Q3 2025 Earnings Conference Call, which is being hosted by Vince Sadusky, our Chief Executive Officer; and Max Chiara, our Chief Financial Officer. After some prepared remarks, both Vince and Max will be available for your questions. During today's call, we will be making some forward-looking statements within the meaning of the federal securities laws. Forward-looking statements are not guarantees, and our actual results may differ materially from those expressed or implied in the forward-looking statements. The principal risks and uncertainties that could cause our results to differ materially from our current expectations are detailed in our latest earnings release and in our SEC filings. During today's call, we will discuss certain non-GAAP financial measures. You'll find additional disclosures regarding these non-GAAP measures, including reconciliations with comparable GAAP measures in our press release, slides accompanying this webcast and our filings with the SEC, each of which is posted on our Investor Relations website. Our statements are as of today, November 4, and we have no obligation to update any forward-looking statements we make. And now I'll turn the call over to Vince.
Vincent Sadusky: Thank you, Jim, and good morning to all. We achieved many strategic milestones in the third quarter. This includes closing the IGT Gaming sale for $4 billion in cash executing on our shareholder return plans and completing the refocusing of the company as a lottery pure-play business. A big congratulations to the Brightstar team for their dedication and resilience in getting us here. Today's better-than-expected Q3 revenue and profit results reflect a significant acceleration of global same-store sales across all geographies. Year-to-date revenue of $1.8 billion highlights the scale of our business which is driven by the sustained growth of core instant ticket and draw game sales. That's translated into solid profits and cash flow generation, which are attractive characteristics of our lottery business. You can appreciate this in the nearly $1 billion we've returned to shareholders through a combination of dividends and share repurchases this year, including the dividend we announced today. That $0.22 cash dividend per share is a 10% increase from our historical rate and is a clear demonstration of our commitment to enhancing shareholder returns. Same-store sales rose an impressive 8% in the third quarter, including 4% growth for core instance and draw games. In the U.S., same-store sales were up 8%. Multi-state jackpot same-store sales rose 70%, fueled by $1.8 billion Powerball jackpot in the period. We also had a nearly 2% increase in instant and draw games, they are same-store sales. Thanks to the continued success of our high-priced instant tickets in California and Florida and eInstant growth in Georgia. Italy same-store sales were up solid mid-single digits with strength across both instant and draw games. The Miliardario relaunch and summer bundle performed well as did the new EUR 25 special edition VIP game. 10eLotto's multi-bet payslip in Gioco del Lotto's Numero ORO option continue to fuel Italy draw game growth. Global iLottery sales increased over 30% in the period. In Italy, digital-only Gioca Più games are driving eInstant growth, while our new 10eLotto fast game is contributing to double-digit eDraw expansion. iLottery momentum is equally strong in the U.S., where robust user growth in Georgia and Kentucky is complemented by the high-performing Elephant King and Cats jackpot games. Viking Gold, our first AI developed game went live in Rhode Island and Kentucky a few weeks ago, marrying proven game mechanics with AI generated animation. There are several more AI developed games in the pipeline. We introduced the new Brightstar brand to partners in North America and Europe at the recent NASPL and European Lotteries trade shows. Brightstar received significant interest from customers eager to see the latest in lottery innovation to engage players. Brightstar's AI capabilities were of particular interest, including our new game plan Wizard, a tool that analyzes instant ticket inventory and the performance of past games to assist in forecasting and building optimized game launch plans. For over 50 years, our innovative products and services have helped our customers excel. We believe the current roster will drive compelling incremental value over the next few years. Now I'll turn the call over to Max.
Massimiliano Chiara: Thank you, Vince, and hello to everyone joining us on the call today. Before I discuss the third quarter results, I want to note the early adoption of new accounting disclosures changed the geography of certain expense items on the income statement. Overall, results have not impacted, and we have provided historical recast financials reflecting these changes at the back of today's Q3 earnings press release. Now on with the quarter's results. Better-than-expected third quarter revenue and adjusted EBITDA were primarily driven by strong same-store sales across jurisdictions and game types. Adjusted EPS improved significantly in the quarter from a $0.02 loss in the prior year to earnings of $0.36 in the current year and increased 20% on a year-to-date basis, driven by improvements in net interest, income taxes and G&A expenses, partially offset by higher gross profit in the prior year. The Q3 and year-to-date EPS figures do not yet fully reflect the benefit of the 13.6 million shares delivered to date under our accelerated share repurchase activities. The actual number of shares outstanding at the end of the quarter has been reduced to approximately 190 million shares. Third quarter revenue of $629 million grew 7% from prior year, up 5% at constant currency. Improved trends in same-store sales across all geographies drove a $19 million increase in instant ticket and draw revenue. Italy's 6% growth was especially impressive, even when normalized for a like number of Lotto draws, rising 5.3%. U.S. multi-stage export revenue increased $15 million, primarily due to elevated activity associated with a $1.8 billion Powerball jackpot and other service revenue decreased $10 million primarily due to non-wager-based revenue from European contracts in the prior year. Please note that this is the first quarter of the U.K. transition, which I'll address in more detail shortly. Third quarter adjusted EBITDA of $294 million rose 11% or 7% at constant currency. High flow-through of wager based revenue growth resulting from strong sales, store sales and jackpot activity and lower costs associated with expense recoveries were partially offset by the non-wager-based service revenue impact in Europe that I just mentioned and the impact of product sales mix and start-up costs associated with the new printing press. In addition, the transition of the U.K. contract had a negative impact of around $6 million in the third quarter and is expected to cause a headwind of about $14 million to revenue and EBITDA in Q4. Cash flow from operations and free cash flow for the third quarter and year-to-date periods reflect the impact of the first installment of the Lotto license fee. On a year-to-date basis, cash flow from operations was a negative $6 million or a positive $573 million when you adjust for the $579 million Italy Lotto upfront license fee. And free cash flow was a negative $245 million or a positive $334 million when you make that same adjustment. $2 billion of the IGT Gaming sale proceeds were used to reduce debt, improving net debt to $2.6 billion at the end of the third quarter. As Vince mentioned, we have delivered significant shareholder returns this year with around $980 million already paid to shareholders and an additional $42 million to be paid in the fourth quarter marking a 10% increase in the quarterly dividend to $0.22 per share. Our financial profile is strong with total liquidity of $3.2 billion and net debt leverage of 2.3x. This puts us in a solid financial position in advance of the 2 remaining Italy Lotto license fee installments. As a reminder, the fees payable in 3 tranches with EUR 500 million already paid in July, EUR 300 million due in the fourth quarter and the balance of EUR 1.43 billion due by April 2026. Brightstar is responsible for 61.5% of the total, so EUR 1.37 billion or approximately $1.6 billion at current rates, and our consortium partners will fund the balance. We are reaffirming our full year '25 revenue and adjusted EBITDA outlook of approximately $2.5 billion and $1.1 billion, respectively. Cash from operations for continuing operations is now expected to be a negative $220 million or about $700 million positive when excluding the Italy Lotto license fee. An improvement of about $55 million from our prior expectations, primarily due to timing of working capital and a cumulative improvement of about $150 million from the original outlook for the year, reflecting a laser-focused approach to the non-EBITDA items affecting cash generation. CapEx is being revised lower to around $340 million due to timing shift. Overall, this represents about $110 million improvement in the outlook for CapEx versus what we expected at the beginning of the year. Now I will turn the call back over to Vince as we present an update on the business.
Vincent Sadusky: Great. Thanks, Max. Well, now that the sale of gaming is complete and Brightstar is a pure-play lottery company, we thought it would be helpful to provide an overview of business attributes as well as some future financial targets to assist current and prospective investors in evaluating our company. The name Brightstar may be new. However, the company's leadership in the lottery business draws on nearly 50 years of experience. During this time, we've developed and deployed some of the leading products and services in the industry. As the premier pure-play global lottery company, our mission is to elevate lotteries and inspire players. For decades, our innovative solutions have helped customers to excel and distinguish their lotteries from other forms of discretionary consumer spending. Today, we're shaping the future of the global lottery business in partnership with our customers. The return to a singular focus on lottery marks an exciting new chapter. Brightstar enjoys global leadership in a growing industry, and the singular focus improves our ability to continue to innovate and execute. Our business has been consistent as we have serviced our lottery customers well and as a result, have had an average customer relationship of about 30 years. One of our unique competitive advantages is we're the only system provider who is also a significant operator of lotteries in both the U.S. and Europe. This gives our team great insight as a customer of our own products and services. The world lottery industry has experienced steady growth for decades and accelerated growth during the COVID years. To this day, lottery sales remain at those elevated levels, which is remarkable, considering the significant expansion of online consumer gambling options. Also, unlike other forms of gambling, lottery play has been very resilient to our economic downturns. Another significant positive is the long-term contract nature of our business, both as an exclusive system provider and as an operator, providing greater visibility into future revenue, profit and cash flows than many other industries. Providing incremental upside to the traditional lottery business has been our leading position into high-growth iLottery operations. We expect broader iLottery adoption, especially in the U.S. and Italy, will continue and meaningfully enhance sales growth. We believe our global leadership position provides us a clear right to win in iLottery. The Brightstar team and Board have consistently worked to unlock the intrinsic value of our assets, disposing of non-core businesses, strengthening the balance sheet and increasing capital returns to shareholders. We believe our current valuation provides a compelling entry point as we execute on strategies to create shareholder value. The scope of Brightstar's capabilities and geographic reach is unmatched. We are uniquely able to either operate lotteries on a B2C basis or provide technology and other services on a B2B basis. We work with about 90 customers around the world with leading market share in the U.S. and Italy, our 2 main markets. Our service contracts are mainly exclusive and long-term in nature, with an average length of over 10 years. Incumbency has tremendous value, evidenced by a nearly 100% FM and operator contract renewal rate in the U.S. and Italy over the last 15 years. We generated $2.5 billion in revenue last year, about 80% recurring in nature. That translated into $1.2 billion of EBITDA and about $700 million in cash from operations. Brightstar's investment appeal and unique competitive position rests on 4 pillars. First is the unparalleled depth of industry experience across our leadership team; second is the large growing global lottery industry characterized by exclusive long-term contracts requiring specialized expertise; third is our market leadership and recurring revenue base; and fourth, our technology product leadership bolstered by a 50-year history of proven innovation and our unique position in the value chain. We've built a focused strategy to evolve the business and create compelling incremental value over the next several years. It focuses on defending and growing core contracts, pursuing targeted expansion and leading in iLottery especially in the U.S. and Italy, our main markets where Brightstar is well positioned to win with established leadership. We are also focused on driving efficiencies through our optimal cost savings program, digitization and broader AI adoption. These initiatives are expected to drive up to $1.7 billion in capital return to shareholders in the '25 through '28 period. The lottery industry has delivered steady mid-single-digit growth over the last 20 years and has demonstrated remarkable resilience during periods of macroeconomic and geopolitical uncertainty. Industry sales have climbed even as new gaming alternatives have become available. We expect that mid-single-digit growth profile to be maintained over the next several years, fueled by broader iLottery adoption. This supports strong predictable revenue and cash flow for us through our percentage of service contracts. As I mentioned earlier, incumbency is a powerful asset. We retained nearly 100% of our facilities management and operator contract revenue in the U.S. and Italy over the last 15 years and over 70% of current FM and operator contract revenue is secured or extendable beyond 2028. This provides great visibility and predictability into our revenue and cash flows over the next several years. Three key levers will drive incremental growth for our core business. The first is share expansion. There's over $12 billion in lottery industry sales currently owned by competitors that is up for rebid by 2028, much of which is outside the U.S. We've recently dedicated more management resources to pursuing these opportunities. Brazil, for example, is a compelling market opportunity where we've already established an initial foothold in [indiscernible]. The second lever is product innovation and portfolio optimization. Lottery is a supply-driven business and compelling new games are a powerful call to action. Optimizing the pricing and payouts of a lottery game portfolio is an effective way to deliver the most engaging player experiences across a broad range of taste and preferences. This strategy worked well for us in Italy over the last several years. Channel and touch point expansion is the third lever. Making lottery games more accessible to players is an effective way to drive sales growth. The recruitment of new retailers with large store networks and the deployment of self-service vending machines are great examples of a proven way to do this. New technologies that facilitate higher sales velocity like LotteryLink and our cloud-based tech solutions are other examples of products designed to increase sales. LotteryLink is now live in New Jersey, and we've begun to deploy self-service vending machines in high-traffic locations throughout Italy. Broader iLottery adoption, especially in the U.S. and Italy, is a major driver of incremental growth over the next several years. Brightstar is well positioned to expand market share across platforms and content. We're already the global leader in iLottery platforms that have built a library of over 300 games used by nearly 20 customers. In the U.S., iLottery penetration is under 10%, with only 14 lotteries live and none of the top 5 participating. Mature markets reach over 40% showing strong player interest. Our U.S. iLottery sales have grown well above the market rate over the last few years, and we've been awarded 2 of the last 4 platforms. We expect 20-plus percent annual iLottery growth for the next several years. This is supported by winning new jurisdictions, including leveraging our strong track record of performance with our FM customers as we have successfully done in Tennessee and Missouri. Game innovation and portfolio optimization offer additional potential as we are on track to launch about 40 new eInstant games each year. Our CRM tools help customers drive growth by delivering customized engaging player experiences using rich player insights. The iLottery opportunity is equally compelling in Italy. As the operator of the country's 2 largest lottery games, we are well positioned to lead digital expansion. Italy is one of the world's most attractive gaming markets, with total market wagers growing at a 7% CAGR over the last decade, including 20% digital growth. Land-based wagers have grown alongside digital expansion. Today, iLottery penetration in Italy is just 3%. By comparison to other European markets range from mid-teens to over 50%. Italy's digital acceptance is clear. iGaming and online sports betting have reached 30% and 55% penetration, respectively. We aim to bring Italy's iLottery penetration in line with European benchmarks by 2030. As we execute proven iLottery strategies in Italy, we've identified other avenues to increase digital adoption. One is to activate digital solutions in our 58,000 Lotto and Scratch & Win points of sale to enhance the overall player in retail experience. In the last year, Lotto and Scratch & Win reached $9.5 million and 17.1 million players, respectively, representing 40% to 75% of Italy's total gaming population. We've already begun executing this digital strategy with the My Lotteries Play launch earlier this year. In just 9 months, we've gained 3 incremental points of market share with minimal marketing effort. My Lotteries Play also enables expansion into iCasino, digital sports betting and bingo. We recently went live with over 80 iCasino games and a dozen live casino games tapping into the estimated 25% overlap between digital lottery players and those who are also engaged with iCasino and digital sports betting activity. This presents cross-selling opportunities that should drive increased average spending on iLottery and other games. We believe we can create significant incremental value here without the need to become a market leader. We'll earn additional distribution fee on all My Lotteries Play activity. For lottery-related wagering, this is on top of the 50% on Lotto and 3.9% on Scratch & Win wagers. We earn as a concessionaire for those games. Needless to say, the new Lotto license unlocks significant strategic and financial opportunities reinforcing our leadership in Italy's evolving digital gaming landscape. Now I'll turn the call back to Max.
Massimiliano Chiara: Thank you, Vince. When we consider all the strategies that this just outlined, we believe Brightstar's organic growth rate accelerate to more than a 5% CAGR over the next 3 years. In terms of its building blocks, we have -- first, we expect our core land-based business in the U.S. and Italy to deliver a 3% CAGR, excluding the U.K. transition. Second, improved iLottery regulatory momentum in the U.S., combined with our long-standing market leadership there is expected to contribute another 1% CAGR. Third, the new Italy B2C expansion initiatives led by iLottery growth are expected to deliver another 1% CAGR. And finally, growing share in underpenetrated international markets and instant ticket printing offer additional momentum. Because the accounting impact of the amortization of the upfront fee paid in connection with the new Lotto license will weigh on our reporting revenue, the net result in an expectation of more than a 3% CAGR. In addition to the accelerated top line organic growth trajectory, we have identified certain operational efficiencies that are expected to deliver approximately $80 million in gross cost savings by 2028 versus the 2024 baseline. We have already communicated $50 million of these savings expected by 2026, which are mostly focused on back-office optimizations to rightsize the business following the IGT Gaming sale. The additional $30 million OPtiMa savings we are announcing today target primarily the cost infrastructure across our main operational areas. It also includes benefits from back-end technology modernization, increased automation, digitization and broader AI adoption across the organization. We have established a structured program to accelerate AI adoption across core processes such as content creation, software development and corporate work streams. We expect AI-driven initiatives to yield even more on our profitable growth and on future CapEx in 2028 and beyond when these initiatives will be fully operational. As we have communicated previously, the '25 through '28 period represents a peak CapEx cycle for us. This is related to the renewal and repeat of several of our largest contracts, including California and Italy Lotto, which we have already secured and New York and Texas alongside Italy's Scratch & Win, which are on the horizon. There is also a sequence of smaller contracts mostly already secured. In particular, we expect average annual CapEx of about $400 million for the '25 through '28 period. The vast majority of this is traditional contractually required investments for new central systems, retail terminals and communication infrastructure across our portfolio. There are a few new areas of strategic investment incorporated there in such as CapEx to expand the number of player touch points. This includes more spending on proven sales drivers such as self-service vending machines and new technologies such as LotteryLink as Vince clearly explained in our strategy session. Another is investments to evolve our core technology stack to leverage new capabilities like AI and cloud infrastructure. We're also investing in infrastructure needed to support new Italy B2C opportunities activated by the new Lotto license. We continue to expect annual CapEx to moderate to about $200 million to $225 million post this peak CapEx cycle. It is important to appreciate that our CapEx investment reinforced Brightstar unique competitive advantages and directly support our accelerated organic growth outlook. They also build foundations to deliver long-term efficiencies beyond the current OPtiMa program. The durability and predictability of our cash flows as a stand-alone lottery business enabled us to establish some key pillars for capital allocation. The company has consistently returned capital to shareholders over the last decade through quarterly cash dividends. However, most of our capital during the period was allocated to investing in the business and reducing leverage. Now we'll leverage more comfortably around our target range of 3x. We intend to allocate more capital to invest for growth and enhance shareholder returns. In conjunction with the sale of the gaming business, we recently announced several ways in which we are delivering increased shareholder returns. First is a 2-year $500 million share repurchase authorization, representing mid-teens percent of the current market cap. As part of the authorization, we executed a $250 million accelerated share repurchase agreement, the largest in company history. We also declared a $3 per share special cash dividend that was paid in July. We intend to maintain approximately $160 million in annual regular cash dividends going forward, even with the reduced share count post execution of the buyback program, effectively increasing the per share dividend on an annualized basis. You see that in today's announcement, a 10% increase in the Q4 dividend. At the current share price, our regular dividend represents a compelling yield of around 5%. We're committed to maintaining an attractive yield even as we face increased capital intensity to maintain the contract portfolio over the next few years. In the '25 to '28 period, we expect an aggregate $7.1 billion of cash generation to be allocated in the following manner, about $3.2 billion for investments required to maintain the existing contract portfolio and pursue targeted new growth initiatives represented by the organic CapEx and our portion of the Lotto upfront fee. About $1.7 billion for shareholder returns, both dividends and share repurchases. The accelerated share repurchase and quarterly dividend plus the special dividend that was paid already in 2025. The balance reflects our remaining share repurchase authorization and dividend we expect to pay over the next 3 years. About $2.2 billion split between payments to minority partners, debt reduction and other cash users. I'd like to note this multiyear allocation does not include any upfront fee for Scratch & Win in '28 as the structure of the RFP is not known at this time. Also as a reminder, our net debt at the inception of the '25 to '28 period was $4.8 billion. Since then, we have been able to drive our debt exposure down to today's historical low of $2.6 billion, allowing us going forward to absorb the Lotto upfront fee without significantly impacting our [ same ] leverage, where we expect it to go above our long-term 3x target for a temporary period until the recurring cash generation of our business will allow us to realign it towards the long-term target over the next few years before engaging in discretion win bid. Moving now to the mid-term targets. We are introducing 2028 revenue and profit targets to give you a sense of where we expect the accelerated growth outlook we have outlined to take us in the medium term. By 2028, we expect revenue to reach approximately $2.75 billion as a more than 5% organic CAGR net to over 3% on a reported basis as a result of the increased service revenue amortization associated with the new Lotto concession. Adjusted EBITDA is expected to grow at a more than 6% CAGR to $1.3 billion over the same period as top line expansion is accentuated by optimal cost savings and other efficiency initiatives. Cash conversion before upfront license fee is expected to improve to about 70%. Once we are past the CapEx -- the peak CapEx investment cycle, we believe the business will generate over $400 million in annual free cash flow before upfront license fees, but after minority distributions. This implies a low- to mid-teens free cash flow yield at the current share price. We expect free cash flow to further increase at an accelerated pace as many of the initiatives we have talked about today mature in 2030 and beyond. We believe this is a compelling value for a growing, durable business with long-standing leadership positions. With that said, now I'd like to open the call for questions.
Operator: [Operator Instructions] Your first question comes from the line of Jeff Stantial with Stifel.
Jeffrey Stantial: Maybe starting off here on the new financial targets and sort of strategy that you laid out. Vince, if you take each of the buckets that are laid out on Slide 23, so core growth, iLottery, Italy, all other, could you maybe just unpack a little bit further for us some of the assumptions that underpin those growth rates, meaning for iLottery? How much is sort of same-store sales growth? How much of a benefit is new state launching for Italy? How much is assumed for retail market share, iLottery penetration, casinos, sports capture, that side of things? Just anything to really help us better understand the algorithm from here would be great.
Vincent Sadusky: Yes. Yes, sure thing. So I think we tried to lay out in really simple form the components of growth. So we think certainly the starting point is something that kind of based in recent history around the ability for the core retail to grow. And then on top of that, iLottery and the Italy B2B expansion as well as printing and product sales account for the balance. . The assumptions around iLottery are primarily organic growth. We've, I think, got a realistic assumption around what incremental markets might evolve over the plan period. But I think in that really exciting from our perspective, Max and I, is the ability to look out really through 2028. So we thought the mid-term targets were -- really, I think, important to show because the confidence we have in those, it's obviously a lot easier to -- given the nature of our business to project out a few years from now, 3 years from now versus going out for the longer term. So on the iLottery front, we've already secured several platform deals and content deals that take time to actually initiate and then grow. So the iLottery growth in North America is primarily built around the assumption of the customers and the pool of iLottery opportunity that is currently secured. On the B2C side, we've gotten a lot of questions around that, right, because that's probably the most speculative piece of the walk and most difficult for investors or potential investors to get their arms around. So we want to talk about that a bit more today, which we think is important because this is something that we think is a very, very exciting opportunity. Again, when you think about our position in the marketplace, having these 2 long-standing lotteries that have, I think the number is somewhere around 90% of the lottery market in Italy and to have this really incredible retail distribution network and seeing what's been done in other parts of the world and the uniqueness of Italy with limited, really no advertising. We think the things that we're doing are very, very exciting to take a market that -- where people really love gaming. They love to play and a well underpenetrated market in the B2C space around iLottery. We think this evolution now that we've secured Lotto, just makes great sense. We haven't really disclosed what our percentages are in terms of anticipated market share. But we believe they're incredibly reasonable and to come up really 3 share points really just since launching our app consolidating our play under one roof, have better usability and interactivity with our -- with our customers, with our ultimate customers, even prior to really a robust marketing effort I think, is really indicative of the potential to increase our share pretty significantly. And as we said, our share of iCasino game play and sports betting play is pretty reasonable. We said over and over again, there's established players in the market that have been at this a long time. We're not looking or anticipating share anywhere close to what they have. But it really doesn't take all that much to, I think, significantly improve the cash flow prospects of this particular business. So when you look out to '28 also, there's a ramp period. I think we've been very sober in our projected share increase over the years. And the really exciting stuff comes beyond 2028. So we think what we've built in this walk to 2028 is super reasonable. And then when you get into kind of the all other -- a lot of this is built off of the instant ticket share gains we've had over the last year or 1.5 years. There's been, I think, really good work done by the team now that we've invested in our print facility, and we've got this state-of-the-art facility to have the confidence to go out and increment share. Now we still have some teething pains going on with the print operation as we're perfecting this state-of-the-art very complex facility and equipment. But we're working through that, and our goal is to be really best-in-class at in printing in our Lakeland facility, to be able to distribute great product around the world. And we have a lot of the business lined up. On the product sales side, we've had a great focus on breaking down -- analyzing the capabilities and breaking down equipment, not only by our competitors, but other state-of-the-art point of sales equipment and terminals around the world to come up with the latest generation of equipment -- of hardware that we believe will make us more competitive in the sales category. And we think that's immediate. We're already out in the marketplace competing with what I believe is superior hardware products. So we feel really solid about the walk and what they're built on, largely on existing business or business -- I think, reasonable share gains based upon the anticipation of execution.
Jeffrey Stantial: That's great. And then for a follow-up, maybe turning over to a return of capital, Max, I apologize if I missed this, but it seems like the full $250 million ASR at this point is pretty much effectively deployed. I didn't catch any commentary on expectations for that second $250 million tranche, whether in terms of timing, mechanism, anything like that? Any color there would be would be appreciated.
Massimiliano Chiara: Of course. Yes, we need a little bit of patience on that because the first tranche is still in the market. We are executing it. As we originally anticipated, the expectation is to complete the first tranche by the end of the year and the latest early January. So let's see when we get there and beyond -- what other options we have for the prosecution of the buyback program.
Jeffrey Stantial: Right. And just to be clear, do you know how much is still remaining on the $250 million ASR?
Massimiliano Chiara: The program is proceeding at pace with the original expectations. So we kind of are not walking off our estimate, to be done by the end of the year.
Operator: Your next question comes from the line of Barry Jonas with Truist.
Patrick Keough: Patrick Keough on for Barry. First, Mega Millions is on a nice jackpot run right now. We're curious to get your thoughts on what you're seeing since the price change went into effect and how or when you'll know if it's been successful for you?
Vincent Sadusky: Yes. So since Mega Millions increased their price to $5 back in the spring, back in April. Unfortunately, as you know, we -- there just has not been a good run up until now, and so it was very -- it's been very difficult to really evaluate the success of the price change. The advantage of the price change is the built-in Megaplier and the math model was changed such that less of the amount of bet, the amount wagered goes to the actual jackpot and more towards these next year prices, which are significant, million, multimillions. And so it was the theory that this would offer a differentiated game to Powerball, which has really driven more significantly towards the top jackpot. Yes, I think it will take time for players to understand and appreciate that. It's been -- the actual results have been according to that design. There's been many, many more payouts at the sub jackpot level. And I think that is beginning to be understood by players, but that will certainly take some time. Yes, as with any Jackpot game, the higher the jackpot, the more the play, the more the play, the more frequent players will also win these less than top jackpots. And I think the differentiation will be accelerated. So I think Mega's up to about $800 million now, and we're routing for it to have a continued run. This is the highest it's been since the increase in the price, and hopefully, that continues.
Patrick Keough: That's great. Next from us. It's still early, but can you walk through puts and takes as we start thinking about 2026? And could you frame next year's growth relative to the 2028 targets you introduced this morning?
Massimiliano Chiara: Yes. So we normally provide an update to '26 when we report the end of the year number. So we would not be prepared to speak -- talk in detail about it right now. We wanted to really focus more on kind of finishing the year and give the market a glimpse of our expectations to the mid-term with the 2028 target so that help investors unpack all our strategies and the new equity story of Brightstar. But again, the good news is that in the short-term, our core business have accelerated. Italy is running above trend with a particular -- particularly nice Q3 performance normalized for the calendar at plus 5%. The U.S. is recovering -- the core business in the U.S. is recovering significantly. And when everything is set and done and you take the 9 months year-to-date, the jackpot is down just above 10% year-on-year. So you need a lot to really bring the performance back in line versus more historical averages. So obviously, the $1.8 billion jackpot in September was an outlier. But if there is a decent run in the fourth quarter, we may end up in a decent territory. And really that leaves everything on the performance of the LMA, which is really bound by the fiscal lottery year, which ends mid of our calendar year in June, July. So unfortunately, from once in a while, it happens that we got hit by consecutive quarters of no jackpots, and that is reflected in the LMA. But again, when you go back 15, 20 years history of this business, that is quickly recovered. And again, hopefully, this is going to be the same between the second part of '25 and the first part of '26. Again, if the jackpot performance just continue to go along the way as it has historically done. And the other good news for '26 for now that we are obviously sharing with the market is that we continue to accelerate our OPtiMa efforts. We have accelerated the execution of the first part. We actually brought already home $30 million of savings through 2025. So there is an incremental, if you want $50 million to be done between '26 and '28 to get to the total of $80 million that we just announced today. Other than that, I would defer to the conversation when we report the end of the year numbers.
Operator: [Operator Instructions] Your next question comes from the line of Chad Beynon with Macquarie.
Chad Beynon: Vincent, Max, thanks for all the medium-term commentary and framing up the story. That was helpful. Max, just revisiting a little bit what you were kind of touching on there, but I want to focus on Q4 and the decision to reaffirm the outlook. So I know that you have tough comparables, particularly in Italy from a year-over-year basis. But it looks like maybe Q3 came in a little bit better than expected from a same-store basis, that's kind of continued here. Can you maybe -- and then I did want to touch on was the U.K. amount that you noted of $14 million, is that -- was that in the original guidance. But I just want to ask about anything else that might be coming in below expectations? Or was this just an opportunity to maintain hopefully some conservatism given the uncertainty with the consumer?
Massimiliano Chiara: Yes, so this is definitely an interesting juncture of the year because with this phenomenal Q3 performance we have kind of a bit reestablished the pace that we lost in the first half because of the LMA jackpot negative combination. So again, when we unpack Q4, it's important to recognize that there are 2 negative impacts in the top line; one is the U.K. and the second is the increased revenue amortization coming from the larger upfront fee that we are going to deliver to ADM in Italy. December 1 is the first date of the -- under the new concession. So we will have to book a month on the new rate. So when you take those 2 items out, which probably together makes about $30 million, you can expect definitely a pretty interesting performance on the top line even compared to last year. We expect the product sales business to be kind of more or less in line with last year for the fourth quarter, which will definitely a decent performance. And then we continue to anticipate G&A to come lower in Q4. So overall, we think we have the ingredients to deliver a great quarter again. Obviously, it didn't make sense to go into the nitty gritty details of the number to -- and change it by a few million dollars. So we are reiterating the $1.1 billion EBITDA. We may end up exactly at that number. We may end up a little bit better. So we'll see at the end of the day, but we are facing a couple of headwinds on the top line. We continue to see good progress in our core business, and we continue to deliver savings in our operational structure. So overall, we are optimistic that we can deliver a good quarter.
Chad Beynon: Great. I appreciate that, Max. And then, Vince, on your medium-term outlook when you outlined the growth, I know one of the things that you talked about with share expansion outside of U.S. and Italy, which I believe is about 12% according to the slide deck. Can you just talk about when a lot of these opportunities could come to your table? Is there a rolling cadence of new bids that are coming up -- or is this more on the printing side, any more commentary? I know you're not giving '26 guidance, but just trying to figure out when some of these opportunities will arise.
Vincent Sadusky: Yes. I would say on the share gains for our core business, those things are -- will take several years, either to when or like let's take the case of São Paulo, Brazil, for example. If we decide to move ahead on that award, which we've partnered up with Scientific Games on that, we begin to execute that in 2026, but you won't see really cash flow and profitability until beyond 2026. So it's just the nature of these things, especially when you're effectively establishing a lottery in a new -- in a greenfield market, which is an incredibly exciting opportunity. However, it takes some time. So I would say the things that we talked about for market expansion especially thinking about the near term 2026 are related to print and product sales.
Operator: And that concludes our question-and-answer session. I will now turn the conference back over to Vince Sadusky for closing comments.
Vincent Sadusky: Thank you all for your attention. Just to recap, we believe that Brightstar enjoys global leadership in a growing industry, and we think have returned to a singular focus on lottery really marks an exciting new chapter. It improves our ability to continue to innovate and execute, drive the acceleration in organic revenue growth and increased shareholder returns that we expect over the next 3 years. And of course, we believe our current valuation provides a compelling entry point for growing a durable business with a long-standing leadership position as we execute on strategies to continue to create significant shareholder value. Thank you. .
Operator: Ladies and gentlemen, this does conclude today's conference call. Thank you for your participation, and you may now disconnect.